Operator: Good afternoon. Welcome to Chime's Fourth Quarter Fiscal 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded, and a replay of this call will be available on our Investor Relations website for a reasonable period of time after the call. I'd like to turn the call over to David Pearce, Vice President of Investor Relations and Capital Markets. Thank you. You may begin.
David Pearce: Good afternoon, everyone, and thank you for joining us for Chime's Fourth Quarter 2025 Earnings Conference Call. Joining me today are Chris Britt, our Co-Founder and CEO; and Matt Newcomb, our CFO. Mark Troughton, our President, will participate in the Q&A. As a reminder, we will disclose non-GAAP financial measures on this call. Definitions and reconciliations between our GAAP and non-GAAP results can be found in our earnings release in our earnings presentation posted on our IR website at investors.chime.com. We will also make forward-looking statements on this call, including statements about our business, future outlook and goals. Such statements are subject to known and unknown risks and uncertainties that could cause our actual results to differ materially from those described. Many of those risks and uncertainties are described in our SEC filings, including our Form 10-Q filed on November 10, 2025. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We disclaim any obligation to update any forward-looking statements, except as required by law. With that, I'll hand it over to Chris.
Christopher Britt: Thanks, David, and thank you all for joining us. I'm proud to report another strong quarter. In Q4, we again delivered results that exceeded our guidance, closing out a momentous year. But before I get into the details, I want to reflect on 2025 and preview plans for a year of acceleration in 2026. Despite headlines of a pressured consumer, we continue to see stability, consistent with what we reported last quarter. Member spending remained healthy in Q4 and with steady growth across, both discretionary and nondiscretionary categories among our tenured cohorts and across all income levels. We're seeing higher average deposit balances and consistent use of our liquidity products with lower losses, including all-time low loss rates on MyPay, and importantly, no signs of increasing job loss within our member base. Our business is rooted in primary account relationships and every day, largely nondiscretionary spend. So we're built for resilience. In times of uncertainty, our value proposition becomes even more compelling. Fee-free access to liquidity, payroll on-demand, high-yield savings, credit building, tools that help members build financial stability. In 2025, we delivered 31% revenue growth with strong operating leverage, including a 12-point year-over-year improvement in adjusted EBITDA margin to 10% in fourth quarter. In Q4, we also added approximately 500,000 net new active members, bringing our total to 9.5 million. In 2025, our biggest unlock was ChimeCore, our homegrown transaction processor and ledger. We're now 100% on our own tech stack after completing a multiyear migration in Q4. ChimeCore strengthens our cost advantage with a cost to serve of roughly 1/3 of large banks and 1/5 of regional banks. ChimeCore also reduces transaction processing costs by an estimated 60% supporting our long-term gross margin target of 90%. But the bigger impact for us is velocity, owing our own tech stack enables us to innovate faster and deliver the lowest cost products to our members. That unique advantage powered our 2025 product launches extending our lead over traditional banks and fintechs as the most rewarding place for mainstream America to bank. For example, Chime Card, our new secured cash-back credit card and first product built entirely on ChimeCore. Direct depositors earn 1.5% cash back on everyday spend, a 3% savings rate, which is 7x the national average, fee-free overdrafts, early access to pay, free credit building that increases average scores up to 70 points and access to a free ATM network that's larger than the 3 biggest banks combined, all at no cost. No other company offers this breadth of services for everyday consumers, and we deliver it with an over 70% transaction margin. Chime Card is already resonating at the top of the funnel and driving strong engagement. Over half of members in our new cohorts are adopting it, and those members are using it for over 70% of their Chime spend. This has resulted in credit spend as a percent of overall purchase volume increasing to 21% in December, up from 16% in September. As a reminder, spend on Chime Card earns us nearly 2x the take rate of our debit card serving as a multiyear tailwind to revenue growth. MyPay, our on-demand payroll product had a standout year. We scaled MyPay to over $400 million in revenue run rate in Q4, while generating transaction margin of nearly 60%, only 1 year after launch. We began 2025 with MyPay loss rates of 1.7%. And in Q4, we reached our steady-state loss rate target of 1%, significantly faster than planned. With losses stabilized and a new variable pricing model in place, we can now scale both access and profitability. We're focused on making MyPay available to more members with higher limits and on driving growth in transaction profit dollars while maintaining MyPay as the low-cost product in the market. We also launched Chime Workplace, our employer financial wellness offering, bringing Chime into the enterprise channel with MyPay at Work. We saw early traction in 2025, onboarding our first customers and channel partners, and we entered 2026 with strong momentum and a growing pipeline. More broadly, our progress across liquidity products showcases our structural repayment advantage that comes from deep primary account relationships and enables low cost, low credit risk liquidity offerings. Across SpotMe, MyPay and Instant Loans, we exited the year at over $40 billion in annualized origination volume. In 2025, we also cemented our position as the primary bank account of choice for mainstream America. In terms of brand consideration, Chime is now #1 for online banking, among Americans earning up to $100,000 a year based on third-party survey data. In 2026, NerdWallet named Chime the Best Checking Account and Best Online Banking Experience. And last year, TIME's National Consumer survey recognized us as the #1 brand in banking. Our marketing isn't just driving awareness, but also primary account intent. Recently, J.D. Power named Chime the leader in U.S. checking account openings, ahead of all other financial institutions. They estimate that 13% of all new checking accounts opened in the U.S. were at Chime, nearly 50% more than the #2 brand on the list, Chase, and above a long tail of other U.S. banking and fintech brands. Our momentum in 2025, combined with the launch of ChimeCore, sets the foundation for accelerating product velocity in 2026. This year, we're focused on 3 priorities to advance our growth agenda. First, we're going to extend our lead as the best financial partner for everyday consumers. In the coming weeks, we'll launch a new premium membership tier with an even more rewarding value proposition for our most engaged and higher-earning members, including those making more than $100,000 a year. It will deliver higher savings rates, exclusive perks and even better rewards, all fee-free while maintaining our advantaged unit economics. We're also expanding our product suite to meet the needs of our fastest-growing segment. Members earning $75,000 a year and more by introducing new value propositions to address more complex needs, deepen engagement and drive long-term growth and profitability. For example, we'll launch joint accounts as well as teen accounts and custodial accounts, so members can more easily manage shared family finances. This summer, we'll be expanding into investing, automated and self-directed, and we will support Trump Accounts. These offerings provide members with new and accessible ways to build wealth. With tax season underway, we're increasing awareness of Trump Accounts among millions of eligible everyday Americans, broadening access and participation at scale. That translated into strong early traction with tens of thousands of members initiating enrollment through tax filing with Chime in the first week alone. Our second priority is accelerating momentum in our enterprise channel. Chime is transforming the direct-to-employer earned wage access industry by delivering a full suite of financial tools and pay on demand for free for employers and employees. We've seen a strong response from the market, including a growing roster of employer partners and channel partnerships like Workday and UKG. Our offering is resonating with employees. Among early cohorts, adoption is high, and these members are transacting more and retaining better than new cohorts in our direct-to-consumer channel. In 2026, our focus is scale. Expanding to more employers and building enterprise into an evergreen customer acquisition channel. We're off to a strong start, and we recently announced several new employer partners and expect additional announcements in the very near future. And finally, we'll continue to deeply embed AI across Chime and into the member experience. A lot has been written about the financial literacy gap in our country, and it's real. More than half of U.S. adults lack basic financial knowledge. And even when people are educated, they often lack the tools, the support and consistency needed to take action and turn good intentions into lasting financial progress. And that's why we're excited to expand our consumer AI offering. Chime's relationship with our members is fundamentally different than most fintechs. The majority of our members rely on Chime as their primary account, and our average member engages with us 5 times per day. We sit at the center of our members' financial lives, and that depth of engagement allows us to not just provide insights but to take intelligent real-time action with and on behalf of our members. In Q2, we'll launch the next generation of our consumer AI offering, Jade. With the vision of delivering an always-on financial copilot embedded in-app, providing personalized guidance that helps members take action automatically and make smarter financial decisions. We're currently testing Jade with employees, which gives us valuable feedback ahead of launch. With Jade, we'll move from reactive tools to more proactive financial management, helping members spend smarter, save more, pay bills on time, borrow responsibly and build long-term wealth, transforming the way mainstream consumers manage their finances. Beyond Jade, AI is already transforming how we operate. Over the past 3 years, we've reduced our cost to serve by nearly 30% and increased our ARPAM by 23%, all while improving customer satisfaction levels. AI has driven step-change efficiency across customer support, reduced fraud rates by 30% since 2023 and meaningfully increased internal productivity. We boosted developer throughput cut code review times and more than doubled marketing creative output while reducing production costs. In disputes, automation has reduced time to decision by 30% while maintaining over 99% accuracy, delivering faster, high-quality resolutions for our members. This is the leverage of a technology-first financial services company embracing AI at scale, grounded in relentless member obsession. We innovate faster, deliver better experiences and operate at a fraction of the cost of legacy players. This allows us to deliver more value to our members and these advantages compound as we grow. Last year, we generated nearly $2.2 billion in revenue with approximately 1,500 employees. As we shared on our last call, we expect to continue to scale without needing to add headcount. I'll now turn it over to Matt to cover Q4 and our 2026 outlook.
Matthew Newcomb: Thanks, Chris. Q4 capped off a landmark year for Chime, our shareholders and our financial position. We went public, strengthened our balance sheet and continued to drive strong financial results. In 2025, we delivered 31% revenue growth and significant operating leverage, growing our adjusted EBITDA margin by 12 percentage points year-over-year in Q4, each ahead of our guidance. And we expect to maintain this momentum in 2026 with a clear line of sight to strong growth and further operating leverage, including GAAP profitability for the balance of the year, an important milestone that we expect to achieve ahead of previous internal expectations. But first, let's discuss Q4. Our third consecutive quarter of strong results as a public company when we again exceeded our prior guidance on both top and bottom lines. We grew revenue by 25% year-over-year and transaction profit by 31% year-over-year in Q4, compounding growth even as we fully lapped 2024's launch of MyPay. We've done this by continuing to execute across multiple dimensions of growth: active members, average revenue per active member or ARPAM, and transaction margin. In Q4, we added approximately 500,000 net new active members quarter-over-quarter and 1.5 million year-over-year. Of course, our actives aren't just any actives. They're deeply engaged, a result of our relentless focus on serving our members in a primary account capacity. Our average active member transacts with us 55 times per month that is very different from other fintechs with single-point solutions whose comparable metric is often in single digits. We have a fundamentally different customer relationship. Primary accounts drive consistent and resilient top of wallet spend, provide us an underwriting advantage through our privileged repayment position and give us a unique opportunity to cross-sell and deepen engagement even further over time. This results in consistent, durable and long-lasting member cohorts. Our oldest cohorts are now nearly a decade old and are generating more transaction profit now than they did pre-COVID, and that's net of churn. And our cohort performance is getting even better. Building on our success in H1 with our early engagement initiatives, which made it easier to get started with Chime. In Q4, we improved the quality of our new cohorts in several other areas. First, in Q4, we saw a record high number of new members convert to direct deposit. Second, we continue to grow engagement. Our new cohorts are attaching to more products faster, including with many of the products we launched and scaled in 2025, like our new Chime Card, MyPay, Outbound Instant Transfer and Instant Loans. Members using 6 or more products each month now make up 15% of our actives, up from 5% 2 years ago. Finally, fueled by these increasing levels of product attach, we've also grown monetization. This is particularly true in our newest cohorts, we are seeing members do more of their spend on Chime Card, compared to prior cohorts that transacted more on debit. Chime Card earns us approximately 175 basis points on purchase volume, compared to under 100 basis points on debit. Taken together, we've strengthened the quality of our new member cohorts while continuing to acquire at attractive CAC, yielding 5 to 6 quarter transaction profit payback periods, and LTV to CACs of over 8x. In Q4, overall ARPAM increased 5% year-over-year and 21% over 2 years to $257, driven by the strength in both payments and platform-related revenue. Our tenured cohorts have reached ARPAM of nearly $400. In terms of transaction volumes, we continue to see very steady spend trends consistent with a resilient consumer. Combined purchase an OIT volumes grew 16% in Q4, fueling payments and OIT revenue growth of 21% year-over-year, an acceleration from Q3, driven by higher take rates on Chime Card and OIT. Platform-related revenue increased 47% year-over-year or 37% year-over-year, excluding OIT. One additional contributor to ARPAM growth is Instant Loans, our up to $1,000 installment loan product with terms of 3 to 12 months. Instant Loans complement our short-term liquidity product offerings to meet our members' larger, more episodic liquidity needs. We originated approximately $400 million of Instant Loans in 2025. And as of Q4, 10% of active members had an open loan. We expect Instant Loans to scale further in 2026 and like we demonstrated with SpotMe and MyPay, unit economics improve significantly as the portfolio matures. We've seen as much as 50% lower loss rates for repeat borrowers compared to first-time borrowers. In Q4, we increased transaction margin to 72%, up from 69% in Q3, a result of delivering on 2 critical strategic priorities that we committed to as part of our IPO last summer, completing our ChimeCore migration and reducing MyPay loss rate to 1%. In addition to the velocity and innovation benefits that ChimeCore unlocks, the final stage of our migration also drove a 200 basis point increase in our gross margin, helping us close in on our long-term target of 90%. This improvement alongside our faster-than-expected progress to our 1% steady-state loss rate target on MyPay, helped us grow annualized transaction profit to $1.7 billion in Q4, up 31% year-over-year. Finally, alongside our strong growth, we continued to drive operating leverage with $57 million of adjusted EBITDA in Q4. In Q4, non-GAAP OpEx as a percent of revenue fell 9 percentage points year-over-year. Our adjusted EBITDA margin growth accelerated further with 12 percentage points improvement year-over-year in Q4, the largest margin improvement of any quarter in 2025. In our first call as a public company, we committed to delivering an uptick in profitability in the back half of 2025, and that's exactly what we did. The 57% incremental adjusted EBITDA margin we delivered in Q4 exceeded our initial guide as well as the higher bar we set for ourselves on our last call. So meaningful progress last year, but we're even more excited about the opportunity ahead. We believe we're extremely well positioned entering 2026 with a number of tailwinds that will support both continued strong top line growth, even faster transaction profit growth and further bottom line margin expansion this year. First, we're the market leader in account openings and the #1 brand in banking. In 2026, we expect to continue delivering steady and predictable growth in our core business, powered by a growing member base and their resilience everyday nondiscretionary spend. Second, we have several strong top line tailwinds exiting 2025, including Chime Card, driving higher take rates, a new variable MyPay pricing model, unlocking further scale and higher monetization. In our Instant Loans products ramping across our member base with strengthening unit economics. Third, our new products and go-to-market priorities that Chris outlined, including new premium membership tiers, investment accounts, joint accounts and Chime Enterprise will set the stage for continued growth in 2026 and in years to come. And finally, we'll do all of this without needing to grow our headcount, thanks to efficiencies from ChimeCore, and our ongoing AI initiatives. Turning to our guide. In Q1, we expect revenue between $627 million and $637 million, resulting in year-over-year revenue growth between 21% and 23%. We expect adjusted EBITDA between $90 million and $95 million and adjusted EBITDA margin of 14% to 15%. For full year '26, we expect revenue between $2.63 billion and $2.67 billion, resulting in year-over-year revenue growth between 20% and 22%, and adjusted EBITDA between $380 million and $400 million. An adjusted EBITDA margin between 14% and 15%. This represents 8 to 9 points of margin expansion year-over-year and an incremental adjusted EBITDA margin of over 55%. And as mentioned previously, we expect to be GAAP profitable for the balance of the year. There are a few things to keep in mind about our Q1 and full year outlook. First, we have a seasonal business, specifically, Q1 is tax refund season, but we like to call the most wonderful time of the year. Each Q1, with the increased activity resulting from members receiving their tax refunds, we see seasonally higher purchase volume, ARPAM, transaction margin and net new active member additions. And in each Q2, we see a normalization of these seasonal trends. with significantly fewer net new active member additions than in other quarters and lower sequential purchase volume, payments revenue and transaction margin. This Q1, we also expect to benefit from larger-than-usual tax refunds resulting from the One Big Beautiful Bill Act, which would magnify the seasonality. It's still early. We haven't yet hit the peak of tax season, and the timing of this year's refunds are a bit later than in the years prior. That said, so far, refunds are tracking higher, in line with our expectations. More broadly, for the full year, we will continue making progress across our growth framework, active members, ARPAM and transaction margin. As the market share leader in new account openings, we expect to maintain strong momentum and net new active member additions this year. For the full year, our goal is to add approximately 1.4 million net new actives at attractive ROI, building on the increasingly strong cohort quality we saw in Q4. We will also continue to drive ARPAM growth as we scale Chime Card, MyPay and Instant Loans, helping us grow LTVs and reinforce our strong cohort quality. And finally, we expect transaction margins remain consistent with Q4 '25 level as we realize the ongoing benefits of lower transaction processing costs from our ChimeCore migration. From an OpEx perspective, as Chris noted, we're excited about our road map this year and plan to invest in sales and marketing behind our new product launches, particularly in Q2 when we plan to launch our new premium membership tier. With that, I will open it up to Q&A.
Operator: [Operator Instructions] Our first question comes from Tien-Tsin Huang from JPMorgan.
Tien-Tsin Huang: Great results for you guys. I want to ask a couple of member questions, if that's okay. Just curious, and thanks for the outlook and all the details that you gave. I know there's been a lot of talk in the past about widening the product funnel. I'm just curious if you're getting the member behavior reaction that you're looking for from those actions and how you might do that differently in '26 versus '25 in terms of member growth focus? And I heard, Chris, you talked about the premium tiering and the new strategy there. I think that's great. I'm curious, are you solving for new member growth there or higher engagement retention, that kind of thing as you're thinking about the outlook in '26 and beyond?
Christopher Britt: Thanks, Tien-Tsin. Yes, maybe just as a setup and a reminder for folks on the call. A little over a year ago, we kicked off a series of initiatives to try to make the top of the funnel, even wider, if you will. So we did things like made it easier to fund the Chime Account, to get access to certain features like credit building and our Outbound Instant Transfer feature, right out of the gate. And I mean, I think there's no question that this has been a positive development for our top of the funnel numbers and you can see it in the results. In the prepared remarks, we talked about the J.D. Power survey that showed Chime is opening up more checking accounts than any player in the industry, 50% higher than the #2 player, Chase. And so going forward, we intend to continue to be the market leader in terms of new checking account openings. We're going to do that. I think with -- we're excited about the new product innovations that we'll be rolling out in some of these new channels that I'm sure we'll talk about more on the call to ignite our growth. And we're going to do that while continuing to manage towards increasing levels of profitability. We're also seeing that these new cohorts that we're bringing in are delivering high-quality members into the fold and maybe Matt can talk to what we're seeing on that front.
Matthew Newcomb: Thanks Chris. Yes, I agree. We feel really good about the overall pace of headline net new actives. But I think what's most exciting and really what's even more important for the business is the quality of our new active cohorts. That's continuing to get stronger and stronger. We mentioned, we've been setting record highs in terms of the number of new members, converted to direct deposit or early engagement initiatives have been a contributor to that. We continue to drive very meaningful lift on engagement, and we're also driving higher monetization. That's particularly true among our newest cohorts that are adopting Chime Card at a very strong rate. So we're feeling very good. And I think the proof is in the pudding. You're seeing that in our cohort metrics. Our transaction profit payback periods are strengthening. They're now at 5 to 6 quarters that supports a long-term LTV to CAC over 8x. And then at the enterprise level, the strong cohort performance is translating into very strong growth in profitability, which, again, we're balancing goals there alongside our -- so again, we feel good, not just at the quantum, but also importantly, the quality of our active member growth to enter the year.
Christopher Britt: And maybe just a follow-up on the other questions you asked, Tien-Tsin, I don't think we would do much in the way of anything different. We really like this opportunity to have more active members in the mix and have them have a relationship with Chime because we know that the point in which in someone's life that they make a conversion to direct deposit is different. It might be the results of a life change or a new job. And so the more people that we can have relationships with so that we're in the mix at that moment of time, we think that's a great place to be. And as it relates to the question about the new product sort of membership tiering, that's really just based on our analysis of our member base and the fact that we can see we're growing among our higher income level members. We're growing that at a nice clip. We want to make sure that we have products and services that really deliver great value to them. So that's what you should expect to see in new tiers, members who give us more of their direct deposit are going to get even more rewarding experience using Chime as their primary bank account. So yes, I guess it's intended to open up that segment of the market even further and make sure that we are -- give ourselves the best chance of retaining those higher income numbers as well.
Tien-Tsin Huang: Like Chris, anything to call out on the competitive landscape, thinking about what you're seeing from your peers? And is that impacting member behavior at all? And I'm especially curious as we go into tax season, if you're seeing any change in customer acquisition strategy from the group?
Christopher Britt: Well, I think like Matt said, tax season is always a great 1 for us. We have a tax prep service. We're seeing huge engagement with that. We're continuing to see lots of -- even though it's early, we're seeing lots of tax refunds into the accounts. We're seeing people signing up for Trump Accounts and kicking off that process within the tax filing process, which is really exciting. And I just think a great development for our country, particularly the kind of everyday consumers that we serve. Yes. Of course, we're always looking across the competitive landscape. Most of the primary checking account relationships in America reside at the big banks, and we continue to outperform relative to those players. And of course, we're always keeping an eye on other fintechs that are trying to get into the area of the business that I think we've been able to prove some success in. So we're monitoring, but we feel really good about the position that we enjoy right now.
Operator: We'll move next to James Faucette with Morgan Stanley.
James Faucette: I appreciate all the color here. I wanted to ask you just on kind of the activity levels and continuing to add users at a pretty good clip. But wondering how we should think about that in context of your efforts to really ungate more products to more of your customers? What you're learning from that process? How we should expect refinement during '26? And I guess, really what we're kind of looking at is -- is there a possibility that we could even see some acceleration from a pretty consistent rate of member growth?
Christopher Britt: Right. Thanks for the question, James. Like we said, we feel really good about the efforts and the impact of opening up the top of the funnel, and Matt sort of shared some of the highlights. Our payback periods on our customer acquisition are as good as they've been in a really long time and getting better. So we feel like these early engagement initiatives are absolutely playing out well for us. We don't anticipate any major changes to them. We're constantly trying to figure out ways to make it even easier to fund an account and to get engaged, to get access to services that are appealing to you, we're going to continue to innovate and test services that allow our members to gain access to trial, temporarily getting access to higher-level tiers if you're not quite qualified for it yet. So -- we think there's going to be lots of ways to give people a taste of all the benefits of Chime, so that when they have that moment -- that life moment when it's time to convert a primary banking account relationship that we're hopefully on that consideration set for them. And at the same time, we're seeing huge success building a brand and not just awareness of the brand, but the building a brand that is trusted and stands for really a new way to manage your money. It's authentically helpful and easy and in most cases, free.
James Faucette: Yes, makes a lot of sense. And then I wanted to touch quickly on credit. Credit mix seems to be improving nicely, especially following the Chime Card relaunch. Any color there? In particular, how has customer response been to rewards on the secured card? Are you seeing incremental spend per user or other things? And I'm just wondering if and how this may tie into some of the plans you have to be attractive even to consumers that are making above $100,000 a year?
Matthew Newcomb: Thanks, James, for the question, this is Matt. Yes, we're really thrilled about the early progress on Chime Card. Again, that's our new secured rewards credit card. And we do think this is going to be a multiyear growth tailwind for us. I think you know this card earns up nearly 2x the take rate versus debit. So it's a really exciting opportunity for us to continue to improve our unit economics. If you just take a look at credit mix as a percentage of purchase volume, you saw that increase from 16% when we launched the card in September to 21% in December. So a 30% increase just in the past few months. And in particular, we're really seeing very strong adoption among our newest cohorts. Our newest cohorts over half of them, half of our new members are spending with the Chime Card. Those that do adopt it are using it for over 70% of their Chime spend. And on your question, these members are spending more than members who've not adopted Chime Card. So net-net, we're seeing really strong credit mix for these new cohorts. The credit mix of new cohort specifically is close to 50%. And on a go-forward basis, we're -- we think there's a lot of opportunity to continue to drive this higher, including through this year's product road map and specifically our new premium membership tier, where we're going to offer even better rewards and exclusive perks while maintaining pretty similar take rates overall.
Operator: We'll move next to Andrew Jeffrey with William Blair.
Andrew Jeffrey: Great to see things play out as anticipated in the business. I thought I might drill down a little bit into Instant Loans because it feels like that product is moving a little bit more front and center for Chime? And -- it's an area where we've spent a lot of time and are very bullish, just broadly speaking, short-term consumer liquidity products, which are so much better than alternatives in the market, of course, Instant Loans and MyPay included. Could you just sort of frame up for us how the credit performance is in that particular product, what the growth opportunity is? And -- maybe just your perspective on how this suite of liquidity products really enhances consumer value as I think there's some confusion or some pushback in the market about fairness and implied APRs and all the kind of stuff that folks don't like about payday loans and credit revolving credit. So kind of a far-reaching question, but I'd just love to get some perspective on your products, in particular, in our overall view.
Mark Troughton: Yes, sure. This is Mark. Just to frame Instant Loan. Instant Loan is an installment loan product that, as Matt indicated earlier that our members use for their larger, more episodic needs. So unlike MyPay or SpotMe, which tends to be intrapay period liquidity, this is longer duration. It's anything from 3 months up to a year, we're testing right now. And right now, we're looking at limits anywhere between $300 and $1,000. So it's really for -- it's really used for sort of larger longer-term liquidity requirements amongst our members. And this is something we've been testing and you guys have heard us talking about this. We've been testing this for some time now and really refining the risk models and making sure we have this really solid. We're very excited about the performance in '25. We did $200 million of originations, and we reached a 10% product attach rate by the end of Q4. And like all our lending products, Instant Loan is only available to our direct deposit members, who have been with us for a period of time. So this is a product, where we're actually able to use the privileged data we have in terms of their behavior and our privileged position at the top of the repayment stack to sort of to manage the risk here and therefore, actually offer rates that are unmatched for these members in the market. So as you -- like any lending product here, what tends to happen is as you start off and certainly with your first-time loans, you tend to have higher losses. But what we're seeing -- what we've really seen here, as Matt has indicated, is as much as a 50% reduction in our repeat loans. And we actually expect the loan performance on Instant Loan to mirror the trajectory that we've seen with SpotMe and MyPay over the years, so it's now at the point where it really is ready to scale. You started to see some of that in Q4, and you will see that throughout '26. And it really has become a sort of growth platform for us that we think is going to be a much more meaningful contributor to transaction profit over time. Having said that, these are riskier loans, they're longer duration, higher limits. So you're not going to see the sort of attach rates that you would see with something like MyPay. But if you were to look at the APRs on a product like this, this is well within the sort of lending 36% APR cap. So this is not a -- to compare this to a payday loan or even some of the sort of more creative products out there would be a huge injustice to this product. In fact, it's such a great product. This is actually our highest NPS product that we have today in our portfolio. And we're really, really excited about its prospects for '26.
Andrew Jeffrey: Yes. It sounds that way. And just to be clear, Matt, will Instant Loans be transaction profit margin accretive in '26 or comparable to the rest of the company, I guess, the way to ask the question?
Matthew Newcomb: Yes. We do expect this to be a contributor to transaction profit dollars, particularly as we exit the year.
Andrew Jeffrey: But perhaps lower margin with the opportunity for going forward.
Matthew Newcomb: Yes. Look, I think from a marketing perspective, it will look different than other parts of our liquidity products, but this is also, as Mark mentioned, something that will continue to improve over time as our portfolio matures, as the portfolio shifts to more repeat borrowers for longer duration. Again, very -- kind of a very similar playbook that we saw with SpotMe and MyPay, where unit economics just get better and better over time.
Operator: We'll take our next question from Will Nance with Goldman Sachs.
William Nance: I was hoping to zero in on some of the commentary around the new variable pricing model for MyPay? Obviously, really great traction in getting the margin profile to where it is and losses down to 1%. With the new variable pricing model, could you talk about your expectations for how that will impact both the ARPU and the transaction margin starting in the first quarter? And then -- maybe you can elaborate a little bit on some of the commentary around expanding access. How should we think about that in the context of, obviously, higher revenue from higher pricing, is there room to maybe tweak up the losses to expand access? Would you expect a lot of that to flow to the bottom line and ultimately to the margin? Just how you think about some of those moving pieces?
Christopher Britt: Thanks, Will. Yes, just to tee this up a bit, I think we're really excited about the tailwind that we have with MyPay from a revenue perspective going into '26 here. We think it's one of many tailwinds that we have. We talked about Chime Card adoption, talked about Instant Loans, but we are excited about some of these changes, both on the revenue side, but also in terms of opening up the availability to more folks. So maybe I'll pass it over to Mark since he oversees that part of the business.
Mark Troughton: Thanks, Chris. Will, yes, as we indicated in the prepared remarks, MyPay really was a breakout for us in '25, $400 million in revenue, transaction profit margin by the end of Q4, almost 60%. And that's really in the first year of this as a lending product, which we were very excited about. I think, as you know, we started MyPay off with a fixed fee pricing model. So it was free if you received your advance within -- after 24 hours, and it was a $2 fixed fee if you did it immediately. What we realized pretty quickly was that we were trying to scale the product trying to give access to bigger limits to more people faster, that fixed fee actually became a hindrance to our ability to be able to do that. And so we shifted it to a variable pricing model that really will allow us to leverage this much more a growth platform and sort of scale MyPay over time. We did that in a series of actions really that started in Q4 last year and culminated in the middle of January this year. So you would already have seen some of the increase in MyPay yield already in Q4 over Q3. There is more to come in Q1 and beyond. Having said that, it's still very early days. We -- with respect to the latest pricing changes, we haven't even had our first full calendar month yet. So I think it's fair to say that -- this is meeting our expectations, and we're excited by the impact of this. But we're not going to be giving specific guidance on the MyPay impact individually for 2026, but it is built into our overall revenue and EBITDA guidance for the year. And I think what you're going to see with us to come back to the second part of your question, we do see opportunities going forward for us instead of necessarily maintaining that 1% loss rate for us to really optimize MyPay more effectively from a net experience and a transaction profit perspective. So this is going to be a strong growth platform for us going forward. And we're going to continue to do that while maintaining the lowest cost product in the market.
William Nance: That's great. Appreciate that color. And then just on the user growth, obviously, pretty strong this quarter, and I hear the commentary on your expectations for the full year. I'm just wondering if you could talk a little bit about the trajectory of Chime Enterprise over time with some of the partners, and it sounds like more to announce in the near future. How are you thinking about when Chime Enterprise could be a more meaningful contributor to the user growth? And is that something we could see as we progress through the year?
Mark Troughton: Sure. I'll continue with that one. In terms of an enterprise, we continue to be really excited and there's the reason that it's 1 of our priorities for 2026 as Chris outlined upfront. We're seeing the value prop is resonating really well with employers. It's a broader suite rather than just wage access, totally free from very expensive offerings out there. And we find that any employer that we speak to really has a solid installed base of prime members, which gives us a strong differentiator. And so I think you started seeing that manifesting itself in this steady drumbeat of employers that we've been announcing, and we just announced another few partners here earlier this week. Look, it is a new go-to-market motion for us, and it does take longer than ramping up our consumer channel. But we have a solid pipeline. We expect to be making some more announcements here in the near future. We're not giving specific guidance related to adds from enterprise. But again, those are included in our overall guidance. One piece of data I can share is that we -- at our employer partners, we are not only seeing strong adoption, but what we're actually seeing is higher monetization and greater retention on our enterprise members than we're actually seeing in our direct-to-consumer channel. So this is something we continue to be excited about.
Operator: We'll move next to Jeff Cantwell with Seaport Research.
Jeffrey Cantwell: I wanted to ask one on your LTV, the CAC. I want to ask if you can drill into that customer acquisition cost side of the equation. Can you maybe talk about what the trend is right now? Because you added 500,000 active members this quarter just really strong. So I'm curious whether you made any changes in terms of how you acquire customers? And then related to that, can you maybe unpack or help us understand what's driving that LTV to CAC, you're highlighting in the deck? Is that more of the impact when we spending the new products and the penetration is driving LTV higher? Or how should we be thinking about LTV versus CAC?
Christopher Britt: Yes. Thanks for the question, Jeff. So what I would say first on the new customer acquisition side is very consistent trends that we've seen in the past. Over 50% of new actives continue to come to Chime via organic and member-driven channels like referrals that continues to be a star of our show. We've actually made some gains on the CAC side year-over-year. CAC for the full year in 2025 is actually down about 10% relative to the prior year. A lot of the early engagement initiatives that Chris mentioned earlier about making it easier to get started with Chime were big contributors to that. So doing really good, I think, about the overall trajectory on CAC. I think probably even more so, are we feeling good about the LTV gains that we're seeing. And that I think is probably the primary driver here of the strong print on overall LTV to CAC of north of 8x. A few of the contributors to that have been the overall step-up in transaction margin resulting from our ChimeCore migration. That's driven a step-up an additional benefit has certainly been on MyPay loss rate improvement. You've seen that build into our transaction margin as well. And then third, again, particularly among our new cohorts. Chime Card is really resonated. Again, where new cohorts are seeing close to 50% credit mix. And of course, credit earns nearly 2x the take rate compared to debit. So -- yes, I guess, in summary, we're mentioning strong progress on both sides, both CAC and LTV.
Jeffrey Cantwell: Appreciate it. I want to ask you about ARPAM. As you're thinking about 2026, do you mind just telling us what is the right growth assumptions you have for ARPAM. It seems like you have, I'm hearing you, it has good product momentum right now across Instant Loans and MyPay and others. And so maybe just talk about that and what you see as some more immediate drivers impacting ARPAM over the course of 2026?
Mark Troughton: Yes. I think, Jeff, a lot of the similar drivers that I mentioned will flow through to 2026 as well from an ARPAM perspective. So Chime Card, I think, is probably the a great one to start with, again, for 2x the take rate. This new MyPay pricing and monetization model that we have will also be a contributor to ARPAM growth we expect this year, and Instant Loan as well is a third contributor to ARPAM growth this year. So multiple exciting tailwinds of products that we've already launched and are really scaling. And then beyond that, we're also very excited about the new product road map that Chris mentioned, again, across new membership tiers, investing products, joint accounts and other.
Operator: We'll move next to Adam Frisch with Evercore ISI.
Adam Frisch: Really nice update here and execution. I want to hit operating leverage for a sec. Obviously, a lot of the algorithm depends on growth on the top line, but are the cost levers still the same heading into the next few years? And if you could talk about maybe the top few biggest levers is core at the top of the list? Or has a lot of that been realized? Where is that leverage going to come from? And then on MyPay, losses reached 100 basis points. Is there still room to improve further? Or is this the level that you want as the right balance between growth and loss?
Christopher Britt: Yes. Thanks for the question, Adam. So I think the high level answer here is, yes, we do continue to expect a continued trajectory of strong operating leverage. You've seen that across every part of our base, and you should expect to continue to see that across every part of our OpEx base this year. As you mentioned in the remarks, now that we have ChimeCore behind us, and of course, a result of our ongoing AI initiatives. We can just do more. We can move faster. We can innovate more quickly and be more nimble. And that's allowing us to get more done without needing to grow our headcount. So we are excited about continued operating leverage, again, across the business. I'll pass it to Mark to talk a little bit about MyPay loss rate.
Mark Troughton: Yes. Adam, I think your hypothesis is exactly right. We will continue -- everything else being equal, we will continue to see improvements in those loss rates if we were just lending to the same people because we've got to get more and more efficient, and we're still seeing meaningful improvements in our loss rates in our understanding. And we're also just benefiting from older -- more tenured members who have more loans. So there would be a natural decrease in loss rates for MyPay over time. I think what you're going to see us do, though, is reinvest some of those in growth of MyPay to continue to expand attach and adoption rates, limits and optimize overall transaction profit from MyPay. So my guess is you'll see something probably a little bit higher than that in the future, but it will be far more than compensated for by an increase in revenue.
Adam Frisch: Sorry, Mark, did you say a little bit higher than 100 going forward, but more revenue to show for it?
Mark Troughton: I think it's going to be in a range. It's going to be in a range, a little bit below that to a little bit above it. I'm not giving a specific guidance with respect to where it would be. I think what we're really trying to do is to give you a sense of the -- conceptually how we're thinking about using MyPay to drive greater transaction profit going forward rather than just meeting that 1% loss rate threshold.
Adam Frisch: Got it. So maybe it flexes up a little bit when you have a big marketing campaign in a quarter, but it goes lower than that when you digest the growth and that's just the way the business is going to run. That makes sense.
Operator: We'll take our next question from Sanjay Sakhrani with KBW.
Sanjay Sakhrani: I just want to follow up on some of the questions that were asked for. Maybe just one on the strong uptake on the new products and initiatives, including the fact that you have stronger tax refunds this year. I'm just curious, as we think about what's embedded in the assumptions that you guys have, how much of that have you sort of factored in?
Christopher Britt: Yes. Thanks for the question, Sanjay. So we are, as I mentioned, expecting an outsized tax season this year as a result, again, of the One Big Beautiful Bill Act. It's -- we haven't yet seen the peak of tax season. It is the timing of refunds are a little bit later this year than we've seen in years past. But again, we do expect the magnitude to be higher. And so far, we are seeing that they are higher. If you take a look at the average tax refund as of the end of last week, it was up double digits compared to the average tax refund at the same time last year. So we have more to go, more data to see here in the next few weeks. But so far, that's what we're seeing. And what we're seeing so far is embedded into our guidance.
Operator: We'll move next to Darrin Peller with Wolfe Research.
Darrin Peller: Some of my questions were asked, but I want to hone in a little bit more on the products, the product velocity you guys have been putting out. Obviously, it was very strong with MyPay this year. When we think about the new products that will contribute in your view, the most in '26 incrementally above and beyond the pricing and the MyPay dynamic beyond that, what are you most excited about in the year ahead? And I guess, related to that also on the Chime Enterprise or workplace, it sounds like it's going really well in terms of users, partners to add and employers to add. But is that incorporated in the 1.4 million of new users? I would hope that would actually be somewhat additive versus last year where I think you did about 1.5 million. So just how should we think about that, too?
Christopher Britt: Thanks for the question. Look, when we look out over the course of next year or this year, I should say, and what product initiatives we're most excited about having impact in terms of the revenue for the business. I think clearly, the continued adoption of Chime Card is going to be a major tailwind for the business. We're seeing it at the top of the funnel. We're also seeing more and more of our existing installed active debit card using member base take this card as well. And then I think when we launch this next new premium tier, we believe that it's also going to continue to drive even more adoption of this core secured credit card and drive even more spend through that product category, which is going to be really helpful to the business. I would say those are -- those 2 initiatives are probably the 2 most likely to have an impact for 2026. I don't know what you'd add to that.
Mark Troughton: No, I think that's correct. In terms of the enterprise, I think as we indicated earlier, those we're not going to give specific guidance related to enterprise ads. Those are included in our overall guidance. But this is a new business. So we're obviously going to be conservative in terms of what we're putting forward with respect to enterprise.
Operator: At this time, we've reached our allotted time for questions. I'll now turn the call back over to Chris for any additional or closing remarks.
Christopher Britt: Great. Thank you all for joining me today and thanks to the Chime team for incredible execution. We look forward to spending more time with you all soon.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.